Alessandro Dazza: Good afternoon to all of you, and thank you for joining us today to review Imerys H1 '25 results. With me this afternoon, as usual, Sebastien Rouge, our CFO. And as usual, please let me start by giving you a few highlights of the semester we just closed and in particular, on the second quarter of the year. I think Imerys delivered a very resilient H1 result. On a comparable basis, our sales were flat, and our EBITDA for the underlying business was even up. And I think this is a great achievement considering the environment around us. If we go a bit more in detail, the performance in the first half was the result of a good start in the year with a solid Q1 and for sure, a softer Q2 as, let's say, this sudden and unpredictable U.S. tariff policy and especially the changes thereof triggered a global uncertainty and weakened demand a bit everywhere, but also in North America. Despite softer volumes in Q2, organic growth for the first half of the year was flat, basically compared to last year. Even in this, let's say, challenging context, we posted an increase in EBITDA versus last year, 1.7% , both for the second quarter and for the full first half excluding, of course, perimeter and the contribution of JV as well as change, which in Q2, turned significantly negative reporting in euro, and Sebastien will show you the impact of the dollar devaluation. As said, this demonstrates the strength and the resilience of our company, but also the good work done on cost savings, cost-saving initiatives and programs, pricing discipline, innovation, and I will come back on this because it starts to be significant. And also, thanks to the investments we have launched in the last 2 years on growing businesses such as conductive additives that are finally starting to deliver significant sales and profits. The adjusted EBITDA for the first semester was EUR 281 million, a 16% margin. For 2025, the group targets an adjusted EBITDA in the range of EUR 540 million, EUR 580 million, assuming no big deterioration or change in the overall economic environment. And during the call or this call, I will provide you a bit more details on our assumption as well as important progress update on our EMILI, on our lithium project in France. So the new slides, on the second slide, which gives you, I think, a good picture to illustrate the sales performance of the group for H1 by geography, contrasted, as you can see. Top right, Europe is clearly the weak link in the chain with persistently low industrial activity, notably a difficult automotive sector, maybe an improving construction industry, but still at historical low levels. And again, to give you an example of the, let's say, tough situation in Europe, I mentioned Germany. The country alone dropped in H1 of this year by almost 10% in sales compared to last year or a drop of EUR 18 million. So more than the entire drop of the group sales in H1. There are reasons to be optimistic, but I will come back to that for the future, and I'll come back to that later on. Even with -- if we move on, even if with a softer Q2 compared to Q1, especially around the construction world, North America remains solid with organic growth also for the full H1. Asia, growing nicely, not only India, where we invested with our last greenfield around construction and steel; not only in China, where we invested in automotive. And, of course, around the battery production world, so dynamic. And last but not least, on the contrary, in terms of growth, the fastest-growing, South America, where we invested a lot in innovation. And as I mentioned before, we start seeing the fruits of the work. On the next slide, I would say here, it underlines the robustness of the Imerys business model. On the left, you can see the evolution of adjusted EBITDA, as I already mentioned, excluding the perimeter, and I remind you, is the divestiture of the assets serving the paper market in July of last year. So the last quarter where we will see an impact and removing contribution of JVs, which was exceptional in H1 last year, significantly lower this year, and Sebastien will give you more details, adjusted EBITDA increased for the underlying business by 1.5% year-on-year. And on the right is one of the reasons, I say one of them. The reason for this increase is the balance between pricing and costs, which remains strongly positive and constantly positive, which highlights the good work done on costs, on cost containment but also our agility to react to market changes in terms of pricing when it comes. As I always said, it is important to maintain this balance always positive, and I think we do it successfully. If we now look at our main underlying markets and their trends, I'll be quick because partly we discussed it already or I presented it already looking at geographies. It should be noted that fluctuating U.S. tariff has had a limited direct impact on the Imerys business. We said it before, but they did have a more important impact on some of our customers or our end markets, and I think of automotive in Europe, and generated a global uncertainty with, for sure, slowed down demand a bit everywhere. Maybe more optimism for the future, and we will look at it in our outlook. Looking at the markets, construction in general, not good. We see a lot of -- or a very little growth. Europe, historical low levels, but we do see signs of a rebound. North America was good in infrastructure, low in residential. Q2 was really low. I hope the recent agreements with the different countries will bring more certainty and confidence to consumers to spend and hopefully, a limited inflation causing to -- interest rates to finally drop. Positive in Asia, and I would say even in China. Consumer goods, next slide, very little to say, resilient, solid, all geographies. Now that tariffs seems to have a limited impact in the U.S. probably or we do expect also in the U.S. to remain sustained. The next slide, automotive is definitely the most difficult. Europe with the third quarter of significant drop in a row. The U.S. also turning negative. One bright spot, which is China, the local market as well as exports. Our last investments, if you recall, our polymers for lightweighting of -- sorry, our investment in lightweighting -- in minerals for lightweighting of polymers addressing the car industry in China was definitely a good choice, and we do see, for us, a strong market in China at the moment. On the next one, energy, depends a lot of industrial activity. So quite soft in Q2 and in H1. Electronics has been okay. It should remain also okay. And the very good news is the electric vehicle market that is showing a significant rebound in Europe, double -- high double digit in America even, and remains very, very solid in China, by far the biggest market in the world. And this trading for new policy is definitely showing its effects. We do expect the market to continue on a very solid basis. Industry -- industrial activity, we mentioned before, soft in Europe, softer in the U.S. in Q1, but remaining okay, and we do see good momentum in China and in Asia in general. And the last slide on iron and steel, which is typically a consequence of the construction and automotive industries, which are the main users by far of iron and steel. Again, it reflects what the markets are, so slow in Europe. It should be good in the U.S. if this 50% tariffs are confirmed, which seems the case. And slowing in China, on the back of overcapacity and slower construction industry compared to past years. Also, we do expect countries to limit Chinese export of steel through protectionism and therefore, going forward, Chinese steel production should remain subdued. If we look now a bit more in details at our figures, I hand over to Sebastien.
Sébastien Thierry Rouge: Thank you, Alessandro. Good evening, everyone. Let's go through some of the key aspects of our financial performance, and we start with revenue. The group reported sales at EUR 1.76 billion for the first semester of '25. It represents a 0.4% decrease at constant exchange rate and perimeter as compared to last year. The perimeter effect, minus EUR 136 million is mainly due to the disposal of the paper activities made last July. And we have also a deterioration of EUR 19 million of the FX effect. This comes in particular from a drop of the USD versus euro in Q2. To be noted, sequentially, sales continue in an upward trend. Q2 sales are higher than Q1 of this year. They are also higher than Q3 and Q4 of 2024, which were comparable quarters after the disposal of the paper serving -- of the assets serving the paper market. If we look now into more detail at our 3 business segments, we start with Performance Minerals. This business generated EUR 1.056 billion, since the beginning of '25, and it represents 60% of Imerys Group. Overall, the business shows a slightly positive organic growth as compared to last year, supported by price development across all regions. Revenue in the Americas were the most dynamic, up 1.3% at constant scope and exchange rates. Price increase mitigated the impact of softer volumes as the construction sector was still penalized by high interest rates and business uncertainty. Revenues in Europe, Middle East, Africa and Asia Pacific shows a slight decrease of 1% at constant scope and exchange rates in H1 this year as compared to last year. This was mostly due to a 1.9% decline in volumes, reflecting low activity in automotive, paint and coating industries and partially offset by positive filtration business. Adjusted EBITDA of H1 stood at EUR 186 million in line with '24 at comparable exchange rate and perimeter, thanks to effort on costs and well-adjusted price-cost balance. Now looking at our Solutions for Refractory, Abrasives and Construction business. Revenue generated by this business in the first semester reached EUR 580 million, a 5% decrease as compared to the prior year at constant scope and [ exchange ] rate. Sales to the refractory market were particularly impacted by low industrial activity in Europe increased Chinese competition and, to a lesser extent, lower industrial activity in the U.S. Our construction solutions, even in a difficult market, held up very well. The second quarter saw a similar trend to the first one with further uncertainties caused by the U.S. tariff policy. The prices held up well across all regions. The adjusted EBITDA decrease was really due to the volume drop, a positive price/cost balance and cost-saving actions helped mitigate this impact in the first half year. Now we complete this segment review with the Solutions for Energy Transition business. The Graphite & Carbon activity generated revenue of EUR 123 million in H1 this year, up 20% versus 2024, conforming in Q2 the good start of the year. Sales growth is driven by robust end markets, mainly electric vehicles and conductive polymers by market share gains and by new product launches. Adjusted EBITDA improved, thanks to the significant sales volume increase. If we look now at the Quartz Corporation as a whole, 100%, the business generated EUR 82 million revenue, a large, almost 70% drop versus last year exceptional first half. The performance remained affected by a very disturbed solar value chain with persistent high inventory. Even if activity improved progressively in Q2, net income fell sharply to EUR 12 million. If we now look at the group profitability as a whole. For the first semester of '25, adjusted EBITDA reached EUR 281 million. Compared to last year, the profitability was impacted by the deterioration of the contribution from our joint ventures. You remember, its contribution was exceptional in H1 '24. The adjusted EBITDA was also impacted by the perimeter effect of minus EUR 34 million, resulting from the disposal of the assets serving the paper market last July. We stated from this perimeter and JV impact, adjusted EBITDA from our fully-owned business is growing by EUR 5 million, net of change impact, which proves again the resilience of Imerys business model. The adjusted EBITDA margin reached 16%, benefiting from the strong performance of the Graphite & Carbon and Performance Minerals businesses, it reached 17.3% if we look at Q2 alone. Let's look now at the other elements of our income statement for the first semester of '25. Current operating income reached EUR 143 million following EBITDA decrease year-on-year and a slight increase of depreciation expenses. With current financial expenses close to last year level, same thing for -- with lower tax expenses, the current net income, group share, landed at EUR 83 million, suffering mainly from the lower contribution of our JV and the negative perimeter impact. Net income, group share, after nonrecurring expenses, which are limited to EUR 12 million, reached EUR 71 million as compared to EUR 142 million the previous year, reflecting the decrease in current net income. Let's have a look now at our cash flow generation. We reported a net current free operating cash flow of EUR 60 million before strategic CapEx, EUR 40 million if we include the lithium CapEx. The decrease compared to prior year is primarily due to lower profitability and significantly reduced dividends from our joint venture and that was partially offset by a decreased efforts and efforts in our capital expenditure. For the full year, net current free operating cash flow should benefit from improved operating working capital, traditionally better in H2 and lower capital expenditures. Excluding the strategic CapEx, these are expected to be below EUR 270 million as compared to EUR 290 million last year. How do these different elements translate into Imerys balance sheet? With the normal seasonality of our working cap and the limited impact of nonoperational cash, the net debt increased by EUR 135 million, mostly linked to the dividend distributed last May. Net financial debt to adjusted EBITDA ratio increased mechanically to 2.5x following the impact of scope and JV contribution. Rating agencies remain confident in the strength of Imerys financial structure and reiterated recently their investment-grade rating. On these good notes, now I hand over to Alessandro for the outlook and EMILI.
Alessandro Dazza: Thank you, Sebastien. And before deep diving a bit on EMILI project, a word on the outlook. As mentioned in the beginning, we target for the year -- for the full year 2025, an adjusted EBITDA in the range of EUR 540 million to EUR 580 million, assuming no material deterioration in the overall environment. We do expect our volumes to turn positive in the second part of the year for several reasons. First, I think the recently announced agreement on tariffs with the U.S., Europe, U.S., 15% is high. Am I happy? Not really. But I think it is a level which is first bearable by the overall industry. And secondly, it does give a basis on which people can calculate, invest and take decisions. So the uncertainty, hopefully, is gone. Secondly, I believe that our innovation efforts, as shown in South America and other smaller businesses are starting to deliver, so we should see some growth right there. the electric vehicle markets is -- will continue to grow. And EMILI and the numbers I will show around EMILI confirm all the forecasts are positive. We are very well positioned. We have invested, we have the capacity to follow the growth of this market and that will deliver growth. And last, I think the construction industry is turning its point and for sure in Europe. But if interest rates will be revised downwards as expected in the U.S., we should see also the same trend in the U.S. Lastly, there has been a measure announced 10 days ago from the European community on protection measures on certain imported minerals from China. In antidumping as it's simply called, that is valid since July '17. This should also bring some additional volumes and growth to our European activity in the second half. All of this to say that we're confident in the success of this company. We will navigate these challenging worlds with discipline, with focus on cost and with a long-term view, and I remain optimistic, as said, for the second half. Before I open to Q&A, let me give you an update as we promised since a long time, on EMILI, on our lithium project where we stand, the fundamentals, the results of the pre-feasibility study. So a quick summary, targets to produce 34,000 tons per year of battery-grade lithium hydroxide by the end of the decade. This volume would be sufficient to power 700,000 electrical vehicles per year. France produce around 1.1 million per year, so close to the entire need of this country. It's based on a hard rock, an important resource located in the middle of Europe, in the middle of France, in Allier department, so nicely located. And of course, it will feed into a value chain, supply chain being built in Europe around EVs. The project has been classified a Project of Major National Interest in France and also a strategic project from the European community under the Critical Raw Materials Act. If we share some key elements of -- or key outcomes of the recently completed pre-feasibility study. First, I would say everything confirms the strong fundamentals of the project and in detail world-class deposits, top 5 worldwide for hard rock. Higher or significantly higher resources than originally estimated. So 370 million tons lithium oxide that's 1% concentration, which implies minimum 50-year life of mine. Some areas even show -- in significant areas, a concentration as high as 1.22%, which will be really world class. Production process works, has been validated in -- through testing in a dedicated lab now since a few months on a continuous basis, and we have more than 1 ton of lithium produced that is being tested by battery makers as we speak. Lithium production will be environmentally and socially responsible. We estimate CO2 emission to be half of the average of other existing hard-rock lithium operations and water consumption should be among the lowest in the world. The project will create at least 1,500 jobs, direct and indirect, in the area. The cost will be competitive. The cash costs we announced EUR 7 to EUR 9 per kilo. Well, it will be in the very low end of the range, which is good news. On the less good news, the CapEx, which we expected in excess of EUR 1 billion is in reality, higher than expected, revised up to EUR 1.8 billion. Two main reasons, one is inflation over the last 3 years. And the second one is ESG compliance. So we had to add some elements, some machines, some pieces of equipment to improve our ESG footprint or ESG compliance that has a cost. Still, good news ahead of us. Substantial reductions have been identified in the new engineering phase and are under finalization and a tax credit of EUR 200 million has been confirmed for the project that is eligible, and we do expect this to materialize as well as other subsidies, especially at European level. The return of the project remains interesting and in line with our expectation, considering especially the long-term market forecast for lithium prices, and I have a slide dedicated to this later on. Commercial production is delayed, will be -- is now planned for 2030 for several reasons, including a long public debate and the permitting phase, which is ongoing right now. The decision, which is one of the questions often asked, for a go, no-go on the commercial plant will be needed by the end of 2027. As already mentioned, so I don't enter into more details. The project is really exemplary in terms of responsible mining and our commitments to ESG in terms of footprint, CO2 emissions, water consumption, stakeholder management, really, I would say, difficult to do better. Interesting on the next slide is expectation from the market. So top left, you see the expected growth and supply -- expected growth of lithium needs and supply up to 2035. CAGR of 13%, proven in the past, expected for the future. This growth will create a gap with demand gradually, of course, but supply will be outgrown by demand. It's only a question of when. And below, you see different studies showing the moment of inflection. As a consequence, typically of a market which will become unbalanced, there is an overall alignment on the different studies showing that lithium prices will and should gradually recover from the current very low levels. The consensus price around the end of the decade is significantly higher than today's, probably between $20 and $30 per kilo. When I say lithium, I always mean lithium carbonate or lithium carbonate equivalent, which is the typically traded -- sold material in the industry. On the next slide, we focus specifically on Europe, which is the target market of the EMILI project. On the left, you can see the growing demand for EVs and hybrid cars should reach 83% penetration in 10 years. But not only -- bottom part, not only cars will drive lithium demand. There is a growing demand for energy storage as well as other mobility applications such as trucks or two- wheelers. All of these will generate significant additional market growth in the future. On the right, Europe will, might, should potentially need around 550,000 to 600,000 tons of lithium per year, battery grade. At this stage, all known, all announced projects, if fully implemented and operational, will not be able to meet such demand, with the deficit estimated at least 160,000 tonnes per year, as said, by the end of the decade. This is why we do expect the lithium market to become increasingly interesting and the matter of European [ sovereignty. ] And to conclude, an overview of what we have done in the past years, where we stand today and what are the next steps. We have concluded the scoping study. We have concluded the public debate and the pre-feasibility study. We have produced battery-grade lithium hydroxide on a continuous basis in a dedicated laboratory, and this is being tested by our customers. Next steps are now, of course, completing which is ongoing, the definitive feasibility study, fundamentally engineering of the commercial plant, which is ongoing. The construction of an industrial pilot to confirm and test the process and the technology and to get homologation for the product once all permits, which is not the case yet, will be obtained. And last, given the size of the project, the search of an adequate partner. Thank you for listening, and I now open the floor to questions.
Operator: [Operator Instructions] And your first question today comes from the line of Ebrahim Homani from CIC.
Ebrahim Homani: I have two, if I may. The first one is about your guidance. What's your -- the assumption behind in terms of ForEx, organic growth and TQC contribution? And given the level of EBITDA, what would be your net debt-to-EBITDA leverage? And my second question is about the lithium project. Do you have discussions with potential partners? And what are the profiles of these partners, who they are?
Alessandro Dazza: I'll start on the second one. As we mentioned in the past, our preferred partner would be an industrial partner that not only brings, let's say, financing to the project, join us in this project, but also expertise and know-how, especially on how to manage CapEx of this size, which is clearly beyond Imerys strength or typical CapEx size. This being said, we are very open. We are investigating opportunities. And I think we will be -- after the summer, going towards the year-end, we will be able to comment in more detail. It could be financial partners, could be private equities, could be funds. The project is considered of high interest in the industry, and we remain very confident that we will find the right partner for EMILI. On TQC, your questions, I would say the -- if I look at the first half of the year, and numbers are included in our press release, I think over the first half of the year, the business has been improving, especially in terms of sales. We do see some activity resuming, especially in the photovoltaic market, which has been affected by the extremely high inventories throughout the chain, raw materials, semifinished modules, panels, throughout the chain. We do see productions in China restarting. It will be gradual, it will be customer by customer. We have lived that 2 years ago in our Graphite & Carbon business or batteries after the big hike, a big drop in demand. Once inventories are back to normal levels, activity will resume because the underlying market, installation of photovoltaics remains very solid with high single-digit or double-digit growth. And I think the best confirmation is the way our conductive additive business is doing now, very strongly, I believe one day, TQC will come back. It will take time, we remain prudent on future developments because we have limited visibility. As you know, in photovoltaic, the main -- basically, the only market is China, and information from China needs to be taken with care. The smaller part of the business, semiconductor, remains solid. So no question on that. And I think you had a question on...
Sébastien Thierry Rouge: Yes, on the leverage -- I think we...
Ebrahim Homani: Sorry, the ForEx assumption behind your guidance and also the leverage.
Sébastien Thierry Rouge: On the ForEx, we have planned with something a little bit better than the spot. We'll see how it evolves. So there is a -- I would say, a bit of risk and opportunity, but we don't see anything major at least if we believe what are the expectations of mostly USD and reals, which are big contributors so far. So on the leverage, I will not give you a precise number because some of the elements are actually in the hands of Alessandro with lithium, at which speed do we resume the CapEx, how do we partner, it will obviously have an impact. What I can tell you is that basically, we've seen the most of the mechanical degradation of the leverage. We have -- you remember, it's built on a 12-month rolling average. We left the very high H1 of '24, replaced by something lower this year. Now we will have an H2 of '25 that will be way more -- way closer than the H2 of '24. So you do the math mechanically, we'll be more or less in the same range as of today with a very dedicated focus then to regain progressively and reduce the leverage by a natural re-increase of the EBITDA in the following years exactly as we saw after the last crisis of 2020. So that's how we are playing that right now with, again, a little bit of a known with the way and the speed at which we finance the lithium.
Alessandro Dazza: And Sebastien, I would say from a working capital perspective, middle of the year is typically a peak because there is a lot of mining activities which happen only in summer. And therefore, in terms of working capital, typically, we see a significant drop towards the end of the year, which, of course, helps generating a strong cash flow generation. Ebrahim, did we answer all?
Ebrahim Homani: Yes.
Operator: Your next question comes from the line of Jason Fairclough from Bank of America.
Jason Robert Fairclough: Just had a couple of quick ones on the EMILI project. So I was just taking a look at the price. I think the price of lithium is down by about 85% from when you first started talking about this project. And now the CapEx is up by 80%. So I guess with this new set of inputs, how much do you think the lithium price needs to go up from here for this project to be NPV neutral. Like do we need to have lithium prices 20%, 30% higher from here?
Alessandro Dazza: Do you have a second question, Jason, or...
Jason Robert Fairclough: Yes. Well, the second one is, I guess -- and it's a bit more of a philosophical one. So apologies if I get a bit philosophical. If we've got -- we seem to have a lot of very low-cost lithium brine projects. So I guess my philosophical question is, is there really still a place for hard-rock lithium projects? Interested in your thoughts.
Alessandro Dazza: Okay. I mean, your first part of the question are facts, the price in '22 and the price today. Today, offer outstrip demands, and therefore, we see the -- which is a bit typical in what is effectively a commodity. At $10 per kilo, which is more or less the current price, this project will not fly and will not be done. I don't -- it depends on certain assumption in costing, but I think a project like the EMILI one will probably be NPV at 0, probably around $13, $14 per kilo. So 30%, 40% up compared to today. I think the lithium price is -- what is key is lithium prices. Any known project today will not be enough to supply future demand. So I don't believe we will see $80 again for a very simple reason, if lithium costs $80 per kilo, we will not buy electric vehicles because they will become too expensive. But the lithium price, which is more or less what's all institution and experts estimate, the lithium price between $20 and $30 is realistic, dollar per kilo of course, is realistic because of demand and supply balance and because projects will not be made if it is at $10. So that's our estimation. Fortunately, we don't have to take a decision on the CapEx today because it will be definitely a difficult one. But we are preparing, as I always said, an opportunity. When the time comes, as I said before, we will try to secure contracts and offtake at prices which will make the project attractive. But all of this is ahead of us. EMILI today is in the first half of the quartile -- sorry, of the cost curve. Yes, the top quartile are only brines, which are typically cheaper, then we can look at the environmental footprint of especially water consumption of these projects. When you start moving out of brine and you come to hard rock, then EMILI becomes a very competitive project. According -- again, not to Alessandro, but two studies, there is not enough brine to supply the world. And therefore, hard rock today, as a matter of fact, more than 50% is hard rock already today. Both of them are being developed and people are investing in both, but still studies say brine will not be enough. And the best-known reserves of brines have been tapped. So again, as for hard rock, you go to the lower concentration, smaller pockets and so on. So I still remain convinced the world will need so much lithium that the deposit, like this one, given the size, the ESG, the compliance being European, I think there is a lot of room for this project going forward.
Operator: Your next question comes from the line of Aron Ceccarelli from Berenberg.
Aron Ceccarelli: I have two, please. The first one is on carbon black. I see that your competitor Orion has announced the decision to shut down several production lines in the U.S. and in Europe. What kind of impact do you expect from Orion rationalization on your pricing, especially now that it looks like we are in a market that is rebounding. The second one is about your full year guidance and EBITDA. I noticed you expect volumes to turn positive in the second half of the year. It would be great if you can provide perhaps some colors by different end markets?
Alessandro Dazza: Thank you, Aron. Let's say, on pricing by definition, we never comment, especially in, let's say, in a small market as the one of carbon black where really a few players are present. I was not aware that Orion has announced shutdowns. We have announced investments in the last 3 years. We have put more than EUR 150 million CapEx in this business. We are very glad we did it because as you can see from the results, it is growing very rapidly and very strongly and very profitably. And it's not only batteries. We have a good momentum in conductive polymers. I think we have -- an excellent product is the reference in the market. That's why now that we have capacity, we are even gaining market shares. We have the capacity to supply for the next 2, 3 years. So I expect this trend to continue and market will dictate the price as always, customers and competition, but we believe we are really the best product in the market. On our guidance, as always, we tend to be prudent. The world has been complicated lately. So we have given a larger range, and we've put some question marks, let's say. On the positive side, I believe, as you say, our conductive additive business will continue to grow solidly. Look at EV sales, as an example, but also electronics where our conductive polymers go, it will continue to grow. We believe construction in Europe has turned the point. And in some parts, especially Eastern Europe is solid, Northern Europe. The central part is still behind, France, especially and Germany. But there is more momentum and with interest rates at this level, we do expect to resume and grow. The same for the U.S., construction in the U.S. was very soft in Q2, housing starts, housing permits, renovation, it was uncertainty, it was uncertainty and the fear of costs. I think an agreement on tariffs that give certainty to allow, also in the U.S., a restart of activity in general. Europe has been struggling on the back of tariffs as well. I believe the certainty and 15%, as I said before, not that I'm happy, but I think it is something that the industry can live with. And certainly, we can live with for our own minerals. We have a South American business growing strongly on the back of agriculture, a lot of new products in the agriculture -- agricultural sector, again, positive. And I mentioned we -- there is a measure that the European Union has introduced mid of July on an antidumping against Chinese fused minerals to protect the local industry. The local industry is Imerys and other players. So I do expect a good rebound in this business as well. So there are a lot of positive factors that make me believe H2 to be a good one. Asia remains solid for us. Maybe question mark on the speed of return of TQC, so we tend to be prudent because it has taken longer than expected. But once again, having little visibility. So question, we remain prudent on the ramp-up but we do believe the market will resume to growth and maybe still the automotive sector in Europe to really understand not only EVs, which are good, but the normal car sales, we had a drop in H1. Are we at the end of the cycle and are we resuming growth. So a lot of more positive news rather than negative news going ahead for me.
Operator: [Operator Instructions] And your next question comes from the line of Sven Edelfelt from ODDO.
Sven Edelfelt: Can I -- sorry, I was disconnected, so maybe you alluded this question. But can you confirm that the guidance you're providing is excluding TQC? And as well TQC in Q2, can you give us the contribution? I think it's 0, but I'm not sure on the -- actually, I have had some questions from numerous investors. So I'm probably not the only one wondering. So and then my question would be on the U.S. litigation, I think there is no hearing schedule for the time being. So can you help us having an agenda on this regard? Second question is on the market share. When I look at your, let's say, first slide, on the market share. I think it's 10% to 13% or something like that. It seems to me that you're underperforming your underlying markets. So maybe can you tell us if it's true or not. On the last question, how is your discussion with GBL going? I mean are they happy about the current situation? Is there some action that might be necessary to take to, let's say, turn around a little bit further the company?
Alessandro Dazza: A lot of questions, Sven. So we'll try to go through. The first one is our guidance is the guidance for the group. So it does include TQC. Given the performance of the first half, which is published in the press release, we've been prudent because we don't know exactly the -- at which speed the market will return. But it is included. As I said, I don't know if you were disconnected already, if I look at the first half, I believe there has been a progressive improvement of activity throughout the 6 months. So probably the worst is behind us. and we look with more confidence to the future. We don't split the 2 quarters, but as I said, TQC was never negative or never 0. So it's -- it remains a good business. And don't forget that the result is net income and not EBITDA. EBITDA is higher. So the business remains a good business. Simply, we had such an incredible Q1 last year, that's everything in perspective. But it we come back, it's a solid business, it's a preferred product, there is no substitution and the underlying market, which is photovoltaic installation remains very solid. On the U.S. litigation, you're right, the date has not been set. The hearing was suspended, pending resumption. There were some technical issues. They have been addressed. Amendments to the plan have been filed. We are waiting for the judge to set, she has asked further briefing. So a form of report that we have to deliver by August 10, which we will do. And then she will set the new hearing. So the date is unknown. If you look at the court calendar, you know that it's going to be in mid-autumn, because there are no available dates. So unfortunately, and frustrating, there will be some delay. I think not in the merits, and it is not bad news other than on timing, but we are at disposal of the judge, and she will decide when she is ready to resume. Market share, I struggle a little bit to connect your question. Let's say, underlying markets give you a trend. So if steel is down, probably our refractory activities will be down. Then if it's down 5%, not necessarily the -- we will be down 5%. It depends on inventories and on the geography. But the underlying markets are for sure the driving force. And I believe we are largely aligned, at least in terms of direction. When I look at our market share and performance, and we do an exercise, bottom up, every quarter with all the businesses. And when you look at the businesses, there are statistics for instance, on paint production in Europe. So you can track much more in detail, and that's why we built this bottom up. But the best example or the best reference you can take is to take the few minerals company that publish numbers, which are purely minerals, let's say so. If you are aligned, it means you're doing okay. If you're better, probably you're gaining market share. And when you're worse, you're probably losing market share. So two peers have published already last week. Both of them have worse results than us, both in terms of sales, volumes and EBITDA, especially if I look at underlying EBITDA, so the Imerys underlying business, excluding TQC because it's a subject on its own. And the same was valid also for Q1. So I definitely believe that overall, the group is not losing market share. On the contrary, it's probably gaining here and there are some market share. And then, of course, we win and we lose on some areas. Probably we have lost a bit share in Europe in high energy minerals against Chinese competition, we have written that, and we have mentioned it before, and is one of the reasons why the European community has introduced an antidumping measure to protect the industry because there is dumping. And so the concept is there is dumping, and therefore, we shall protect the industry. It has been implemented last -- 10 days ago, we will see the impact, difficult to quantify today, but definitely, it puts competition back to normality. And I think when competition is normal, we can win, and we will win back market share. Also in Europe, also specifically on this very limited niche, but it is the place where I can say, yes, we had lost. Last on GBL, I believe our shareholders are happy with this company because of the performance we deliver even in difficult times because normally, we deliver better than our competitors, which is a key. You're not alone. And you're subject to your markets. But if you do better than others, I think the shareholders should be happy. Do we have pressure? Yes, always. And I would say today, our mission is really on costs. As long as volumes don't rebound significantly, our job is to work on costs. If you look at H1, overall, I think we have done an excellent job. We have different initiatives on overheads, on fixed costs, on spending. We will do more in H2 to be ready if the market doesn't rebound as I expect, but better to be ready then to be sorry later. So that's the -- and of course, when you work on cost, you work also on CapEx. Sebastien mentioned it, we will spend less in H2 than usual or much less than last year. First, because we are well invested, but also because you never know how the market develops, given all what has happened in the last 3 months. So that's, I think, the mission that we need to accomplish. And then continue growing and innovate.
Operator: There are currently no further questions. I will hand the call back to you, sir.
Alessandro Dazza: Thank you very much, and thank you all for the constructive discussion and for listening to us tonight. Thank you. And for sure, to many of you, a nice vacation. Thank you.
Sébastien Thierry Rouge: Good evening. Bye.